Operator: Good morning, and welcome to the Life Storage second-quarter 2019 earnings conference call. [Operator instructions] Please note, this event is being recorded. I would now like to turn the conference over to Dave Dodman, vice president of investor relations. Please go ahead.
David Dodman: Good morning, and welcome to our second-quarter 2019 earnings conference call. Leading today's discussion will be Joe Saffire, chief executive officer of Life Storage; and Andy Gregoire, chief financial officer. As a reminder, the following discussion and answers to your questions contain forward-looking statements. Our actual results may differ from those projected due to risks and uncertainties with the company's business. Additional information regarding these factors can be found in the company's SEC filings. A copy of our press release and quarterly supplement may be found on the Investor Relations page at lifestorage.com. [Operator instructions] At this time, I'll turn the call over to Joe.
Joe Saffire: Thanks, Dave, and good morning, everyone, and welcome to our second-quarter earnings call. We reported solid second-quarter results late yesterday of adjusted FFO of $1.42 per share, which is at the high end of our guidance provided in late April. I'm going to begin with an update on our portfolio transaction. As we've already reported, subsequent to quarter end, we completed the sale of 32 mature stores to Inland real estate group for $212 million. These stores are located in Louisiana, Mississippi, Texas, South and North Carolina. The sales price was slightly lower than our guidance of $225 million because two properties were removed from the transaction late in the process. Importantly, we will continue to manage all 32 stores subject to the terms of a long-term management agreement. We are excited about our new strategic relationship with Inland. In total, we divested 45 stores for more than $300 million over the past year. We do not anticipate any further meaningful dispositions of wholly owned assets through at least 2020. I am also happy to report that we've been very active on the acquisition front. During the second quarter, we acquired four stores for approximately $43 million in Cleveland and Jacksonville, both markets where we currently operate. And subsequent to quarter end, we acquired 12 stores for $135 million located in markets where we also currently operate in Virginia, Florida, South and North Carolina, Tennessee and Georgia. Finally, since the beginning of the second quarter through July, we entered into agreements to acquire 10 stores spread across Seattle, Baltimore, Las Vegas and Austin. Eight of the 10 are located in new strategic markets where we do not currently operate, but where we like the demographics and market rates. Specifically, three stores in Seattle will provide us with a foothold in the Pacific Northwest and five stores in Baltimore will help fill a gap in the mid-Atlantic region. The remaining two stores are our property in Las Vegas and a store we have been managing and seeing in Austin for several years. Please keep in mind that these opportunities remain subject to further due diligence and closing conditions, and therefore, no assurance can be given that they will be purchased according to the currently contemplated tariffs. The execution of all transactions during the past 12 months is consistent with our strategy of increasing exposure to markets with more attractive demographics and newer properties with higher revenue and better growth prospects. Specifically, we sold 45 stores that are, on average, 27 years old with asking rates of $11, revenue per store of roughly $720,000 and occupancy of 91%. We have acquired 26 stores that are, on average, five years old with $16 range and revenue per store of over $1 million once stabilized, and occupancy currently around 60%. Also, as part of this rotation, we have decreased our exposure in Texas by 13 stores, six of which are in Houston. And as a result, Chicago is now our largest market. All of these transactions, we believe, will improve our growth rate, our margins and net asset value. Now moving on to operations, and Andy will provide details shortly. But the second quarter performed largely as expected. Occupancy remains lower than last year due to pressure on move ins from new supply. However, existing customers remained resilient with lower year-over-year moved outs. Our largest markets, Metro New York City, Buffalo, Las Vegas and New England continue to perform very well as they have in recent quarters. We are seeing stabilized and improving trends in markets that were impacted early in the supply cycle, particularly in Chicago, where we grew faster but we grew revenue faster than our portfolio average. With regard to market that remain on our watch list, namely Houston, Dallas and Miami, they continue to be impacted by new supply. We are comfortable that we through the peak deliveries in Houston, but that market has also been challenged by typical year-over-year comps due to elevated hurricane-driven demands as rates remained elevated well into the third quarter of 2018. And finally, I would like to just note that we have completed the rollout of Rent Now, our fully digital rental platform for customers who prefer to self-serve and skip the counter. Millennials are expected to take over baby boomers of the largest adult population this year than we have seen the shift toward online channel over the past year. We believe Rent Now is an important platform to effectively meet our customers' needs and to operate more efficiently going forward. I will now hand it over to Andy.
Andy Gregoire: Thanks, Joe. As Joe mentioned, we reported adjusted quarterly funds from operation of $1.42 per share last night. Our same-store performance was highlighted by NOI growth of 2.4%, achieved by a combination of revenue growth and controlled expenses. Specifically, same-store revenue rose 2% over the same period last year, driven by realized rates per square foot that increased 3% over the second quarter of 2018. Rate growth is partially offset by 100 basis point decline in average occupancy. Second quarter same-store expenses, outside the property taxes, continued to be extremely well-controlled, decreasing 50 basis points over the second quarter of 2018. Decreases in payroll and benefits, utility, as well as repairs and maintenance offset the increase of Internet marketing spend. Our investments in technology and our focus on efficiencies are producing great results and are evident in our same-store NOI improvement. As we anticipated, property taxes increased 4.1% in the second quarter. As discussed in our previous call, we transitioned our customer insurance program from a third-party product to a captive solution as of April 1. We are very pleased with the seamless transition, and net operating income associated with the new tenant insurance program increased 16.2% over last year's second quarter. In addition to the strong performance of our same-store portfolio, we continue to see consistent growth trends as the properties that we purchased at Certificate of Occupancy are very early in the lease-up stage. With quarterly occupancy of 75.7%, these lease-up stores still have significant room to grow. Subsequent to quarter end, as Joe mentioned, we acquired 12 stores that will be added to the lease-up portfolio with our third quarter reporting. Our overall second-quarter revenue increase also reflected a 28% increase in third-party management fee. Our balance sheet remains very solid, and we continue to have significant flexibility to capitalize on attractive investment opportunities when they meet our return requirements. During the quarter, that we issued $350 million of 10-year 4% fixed-rate senior unsecured notes and used the proceeds to repay a $100 million term notes due in 2020, as well as $215 million unsecured line of credit balance. As a result, we have no debt maturities until 2021. We extended our average debt maturity to 7.6 years from 6.7 years, and we increased the percentage of our total debt that is fixed rate from 85% at March 31 to 100% at June 30. At quarter end, we had cash on hand of $46.1 million and $500 million available on our line of credit. Our debt service coverage ratio was a healthy 4.6 times, and our net debt to recurring EBITDA was 5.5 times. Having completed the debt offering earlier in the year than planned, we expect $0.04 per share of additional interest expense in 2019 above previous estimates. Despite this, we believe the opportunity to secure long-term, low-cost, fixed-rate debt will benefit shareholders. Regarding guidance, we raised the low end of our guidance and now expect adjusted FFO per share to be between $5.56 and $5.63 for the year. Due to our strong pipeline of acquisitions and flexible capital position, we have increased the expected midpoint of acquisitions in 2019 to be $375 million rather that $225 million previously disclosed. The midpoint of our guidance regarding divestitures has decreased by $5 million to $220 million. We expect the impact of both increased acquisition activity and expense control to offset the $0.04 per share of additional interest expense from the debt offering that was not included in previous guidance. Finally, we expect third-quarter adjusted FFO per share to be between $1.42 and $1.46 per share. And with that, operator, we will now open the call for questions.
Operator: [Operator instructions] And our first question comes from Todd Thomas of KeyBanc Capital Markets. Please go ahead.
Todd Thomas: Hi. Thanks. Good morning. Just first question, just curious regarding the portfolio sale in the quarter. If you can share what the impact of the same-store metrics were from that sale. And also, did the same-store forecast assume the sale of those assets for the full year?
Andy Gregoire: Todd, it's Andy. Yes, the forecast did assume the sale of those stores, and we did expect it to happen mid-year as it did. The impact on the quarter was 10 basis points of NOI growth, if they have been included in the same-store.
Todd Thomas: Okay. So you benefited this quarter from removing them by 10 basis points?
Andy Gregoire: Correct.
Todd Thomas: Got it. And then the change in your existing customer rent increase strategy over the last several quarters or so. The benefit that you discussed previously, I think about 100 to 200 basis points, did that materialize? And are you able to see the contribution that existing customer rent increases had to revenue growth in the quarter? And can you just comment on your rent increase strategy more broadly and provide an update there?
Andy Gregoire: Yes. The strategy more broadly has been consistent from year to year. What we did 2Q of '19 is very similar what we did in 2Q '18, both from a quantity and number of customers receiving it. Some over 40% of our customers received the rent increase letter. Average increase was over 8%. The impact on revenue, it is driving most of the revenue growth. So of that two percentage growth you're seeing, most of it is driven from the in-place strategy.
Todd Thomas: Okay. And then if I could just sneak one more in here real quick. Just in terms of dispositions, Joe, I think you mentioned that you don't expect any of this [indiscernible] on the asset sales. What about joining venture sales? We've seen some funds monetizing investments. I'm just curious if there could be some potential dispositions from existing JVs in the portfolio.
Joe Saffire: If I -- Todd, yes, that can happen. In fact, we have a small portfolio with the JV partner that's up for selling now, it's kind of eight or nine stores. That really is the driver via the maturity order. But anything larger, I don't see anything any time soon.
Todd Thomas: Okay. And in terms of the value or maybe if you could just book in the range of proceeds to LSI that we should expect?
Joe Saffire: From that eight store...
Todd Thomas: Yes.
Joe Saffire: JV, Todd? It's too early to say, to be honest, but we own 20% of it.
Todd Thomas: Okay. Got it.
Operator: Our next question comes from Shirley Wu of Bank of America. Please go ahead.
Shirley Wu: Good morning, guys. Thanks for taking the question. So this quarter, it seems as if you're planning to enter two new markets, Seattle and Baltimore. But could you talk a little bit about how you decided to enter those markets? And what are your plans to grow scale there?
Joe Saffire: Yes. Shirley, we've been talking about some markets that we have wanted to enter and just haven't found the right opportunity. Seattle was right there on the top of the list, given the demographics, the growth of the city. Certain pockets of that city, it's actually quite hard to build. And we've been looking for quite some time, and we found three stores off market from a private owner that we believe were going to get nice lift once they're on our platform. And from there, once we have three or four stores, it becomes much easier to start gaining more scale. We've had opportunities in Seattle for third-party management. So it's quite difficult to do one store. So we think that we're going to be able to grow that presence over the next couple of years. We like Seattle, and we're very excited about finally being there. And as for Baltimore, I mean that's another market where [indiscernible] rates. We like it, and it's just kind of if you look at our map, it's to where we are in the mid-Atlantic, it was a clear gap there. But again, that deal was off market with a larger operator there, and we think we have a very good relationship with that seller, and they have other properties down the road that maybe we can do something with. So again, those are going to be markets that we're going to look to add through JV, through wholly owned, and of course, through third-party management.
Shirley Wu: Great. And so this quarter, it does seem as if you are acquiring more than dispositions than earlier anticipated. So how are you thinking about capital funding for '19 and maybe even '20 as well if you think about future acquisitions and dispositions?
Andy Gregoire: Shirley, obviously, we have these proceeds from the sales. So the $200-plus million, we spent some of that in July with $135 million acquisition of the 12 stores. Obviously, we want to use the rest of those proceeds. We have great capacity on our line of credit. We have owners interested in operating partnership units. We have other JV opportunities. So that's what we would see funding what's in the pipeline now. As for 2020, we'll have to see where we're comfortable acquisition-wise based on where our stock price is and see how we would fund those in 2020. But we're not there yet. We don't see the pipeline in 2020 building at this time.
Operator: Our next question comes from Jeremy Metz of BMO Capital Markets. Please go ahead.
Jeremy Metz: Hey. Good morning. Just one cleanup item here to start. Just going back, you mentioned the 10 basis points benefit to NOI growth in 2Q from the asset sale. What is that on a full-year basis in terms of now that these are out, now that the same-store, of course, changed. What did that mean in terms of a full-year guide, how much of a benefit is it?
Andy Gregoire: It has been nearly, say, 10 points for the quarter for the full year guided. It was about 20 basis points when you take into account now the dispositions.
Jeremy Metz: All right. And then just sticking here with dispositions, you've commented, Joe, earlier on some thoughts about not selling anything through 2020. I know there was another question earlier, you sort of addressed this a little bit. But just given the pricing that's in the market, the demand for assets, the success you've had with these, I know you mentioned this one other little portfolio, but you're also, on the flip side, having success finding acquisitions. I guess, why not look to recycle more as you continue to reposition the portfolio toward some of these better markets you've been owing?
Joe Saffire: Yes. Jeremy, I mean part of the goal was to exit some of the markets that we are in that were really just holding us back when we look back over 10 years. And we accomplished that through dispositions in the fourth quarter, and then more recently, the larger deal. And then we also wanted to kind of derisk a little bit of Texas. And we did. We did about 13 stores there, about 10% of our portfolio. So we kind of got the two ticks as to what we wanted to accomplish. I don't really foresee any real lift if we sell more. It's quite hard to find accretive deals, especially if we're selling mature properties. I think we accomplished what we wanted to do over the last year. It's been a real success. We've been able to deploy proceeds, it's both amid the lease up and some stabilized stores. And it's our way to do purchases. Andy has talked about, we have a couple of new JV partners now that we work -- that we can buy together. We can use LP units. And obviously, we're in a better position than we were 18 months ago. [indiscernible] our equity capital. So yes, I don't think we're going need to do anything like that over the next year or year plus.
Jeremy Metz: And can you just say what drove the decision to sell the whole thing in this recent sale versus stand for a small piece, was that driven by your partner or you guys or a mutual decision?
Joe Saffire: Yes, it was a combination. We initially thought we would keep 20% or so. The idea was we wanted to have a long-term management contract, and it made more sense for both of us to do 100%, and we got a five-year contract out of it. So we kind of accomplished what we both were trying to do.
Jeremy Metz: Thanks.
Operator: Our next question comes from Smedes Rose of Citi. Please go ahead.
Smedes Rose: Hi. Thanks. I was just wondering on the JV assets that you mentioned better for sale now. Will you keep those properties on your management platform?
Joe Saffire: Yes. Smedes, it just depends on who buys them. It's really out of our control.
Smedes Rose: Okay. And then just on the stepped-up acquisition activity and you talked about this in a fair amount, and it sounds like some of the opportunities came from, you said, off-market deals and existing relationships. But I mean is there anything changed on the pricing front that makes them more attractive from your perspective? Or just more sellers coming to market? We just sort of -- we've heard sort of mixed views, I guess, on where pricing is on stabilized or sort of leasing of assets and be interested into hear what you're saying on that front?
Joe Saffire: Yes. I mean it really depends. Definitely, there's more that's come to market over the last -- if you look back, 12, 18 months ago to now. There has been a lot of opportunities. The cap rates, I think, have stayed where they are probably a year ago, but they're getting -- it will depend on the markets that you're looking at. And for us, we're able to pencil out with our model acquisition -- expansion opportunities list to put them on our platform. So we look at a ton of deals, and we are fortunate to find some really nice deals that got to add to our portfolio and provide long-term growth, both in our -- in the lease-up phase and also some stabilized that have expansion opportunities. So it really depends, to me, on the markets. But there's definitely more to look at these days than, I would say, a year ago.
Smedes Rose: Okay. And then you could just maybe give a little commentary on Houston, specifically, about how -- I mean obviously, it's still weak in the second quarter, which I think you had mentioned on your last call that was expected, but how are you seeing things there in the next couple of quarters?
Joe Saffire: Yes. I mean we did get a nice little bump in occupancy, which was nice to see. We're still dealing with the comps from the rates last year after the hurricane. But if we look at supply and we're tracking what's going to be in plan and what's been constructed. Over the last six months, we've actually seen the planning and the construction kind of go down. So that's somewhat encouraging. And Houston is one of the markets that was first in the cycle of this buildup, and we feel pretty good about Houston over the next 12, 18 months. We definitely have seen the new construction kind of peak and that hopefully stays that way.
Smedes Rose: Great. Thank you again.
Operator: [Operator instructions] And our next question comes from Jonathan Hughes of Raymond James. Please go ahead.
Jonathan Hughes: Hey. Good morning. Following up on the 32 properties sale and the same-store pool benefit. If I do the math and the sub and add back those properties that were removed from same stores, it looks like revenue growth and NOI growth benefited by about a 180 basis points in the quarter, not 10. Maybe I'm missing something, but I was hoping if you could clear that up and walk us through the math behind that 10 basis point benefit you saw.
Andy Gregoire: Jonathan, if you look at the sub, I do believe it's [indiscernible] '18 dispositions. But you can only look at the 2019. For the 2018 numbers you see there also include the 12 stores we sold in December. So be careful there. There was no 180-basis-point benefit from that change. It was really relatively minimal. These stores have underperformed for years, but obviously, as the whole marketplace nowadays is at the lower end of where we've been performing. Those store still perform, but they're still below -- slightly below where the rest of portfolio is.
Jonathan Hughes: Yes, that makes sense. I may go follow-up online first for more detail there.
Andy Gregoire: Yes. Please do.
Jonathan Hughes: And then turning to internet marketing costs. Those were up 15% in the quarter. Some of your peers saw this cost up nearly 50% that was also -- this peer has also posted some stronger-than-expected top line growth. So maybe revenues were bought a bit there via the elevated marketing spend. Was just hoping you could talk about the returns you are seeing on internet marketing spend and plans to increase the amount you allocate there.
Andy Gregoire: Yes. I think we do expect to see the spend increase over last year probably to a larger extent than we saw in Q2 that 14% of where we were there. So I would expect that to bump up more. But it's really -- if you have to monitor that spend and look at the returns, and I think you can overspend and buy occupancy. But at the end of day, we worry about NOI as well. So the revenue growth, we want to make sure we're being very precise and where we're spending those action dollars and making sure the return is adequate. No question the returns are getting tougher and tougher as higher and higher at Google.
Joe Saffire: Yes. Jonathan, it's just the paid searches. It's -- every year, it's more and more important. I think organic search, you might have to slide three or four times now in order to find an organic search listings. So obviously paid is getting more important. And you have nontraditional players also bidding up on the auction. The guys are spending as well. So we're dealing with that. But you definitely get a benefit from doing it. And some of those, I think, smaller players are probably challenged with that. But I don't see it getting any better any time soon.
Jonathan Hughes: Got it. Just one more for me. Looking at move ins, they were down, so were move outs though. I guess, has there been any change in customer trends like trafficking conversion rate? And then I don't think I heard what's [indiscernible] rates occupancy are today versus a year ago, if you wouldn't mind disclosing that.
Andy Gregoire: Sure. Regarding the trends, I think the fighting new supply, that's what's holding back the ends. We continue to be supply -- surprised by the outs being down. Again, with our in-place strategy being aggressive over the last two years. That has been the big surprise. As we go through this part of the building cycle, are going to be tough, and we'll continue to fight for those. Rates. In the quarter, street rates were up -- I'm sorry, street rates were down 3.5%. It's about -- it's very similar in July. Net effect, it was down I think 10 basis points more than that 3.6%, very similar in July.
Jonathan Hughes: Got it. Thanks for taking the time guys.
Operator: Our next question comes from Ryan Lumb of Green Street Advisors. Please go ahead.
Ryan Lumb: Thanks. Good morning. Just a clarification on the sold stores line item on Page 18 of supplement. How many stores were in that bucket?
Andy Gregoire: In 2018, there's 32 stores in the numbers because the 12 were sold -- I'm sorry, 13 were sold in '18. So a total of 45 have been sold in -- for the last 12 months. 13 of them in 2018 before the end of the year, and then 32 this year. So the '19 numbers has the 32 stores in it, the '18 numbers has the 32 plus, the other 13 stores that were sold, for the portion, they were obviously held in 2018.
Ryan Lumb: And then I guess, following up on the discussion around sort of the outlook for acquisitions. I think in the release, the phrasing was there's a strong pipeline of acquisition opportunities. And again, going back to my recent question that it's a bit different than what we've been hearing from other large operators. I guess where are you finding opportunities today? Are there specific pockets of maybe see the deals? Or where the value lies? Or specific markets? Or how are you seeing a strong pipeline of opportunities when it seems like others are finding good value hard to come by?
Joe Saffire: Well, there's definitely been a lot more on the market. Even broker deals, you've seen a lot more in the last six to nine months. So I think we've all been pretty busy looking at opportunities. From what I've read and what I've seen, I've seen some others doing some deals as well. We have a great acquisitions team. We have 40-plus years' experience. We have deep relationships across owners and a lot of JV part -- a lot of the private equity. And a lot of it is just relationship. And even with brokers, you don't hear anything about maybe coming up, and we've just seen a lot more opportunities, they've been taking a look at a lot more deals that have come to market. Obviously, you don't win them all or want them all. But it's just being more active in general, and we clearly have found some opportunities in the markets that we have really decided to be in, Seattle, in particular, and Baltimore. And they fit nicely in our portfolio. Still the challenge is California. We love to have more in California. We were able to get a couple last year, but that's a very hard market to find new opportunities. It's down the line of supply. So -- but we keep looking in. What we're seeing coming on the market in the next six months, we'll see there's other opportunities. But what we have currently in the pipeline that we have under contract or close to contract, we look to focus on those to get those to finish line soon.
Ryan Lumb: Great. Thanks for the color.
Operator: Our next question is a follow-up from Jeremy Metz of BMO Capital Markets. Please go ahead.
Jeremy Metz: Hey. I just had one quick follow-up, and I'm sorry I keep digging in on the same-store pool change and the impact. It was only 10 basis points NOI side by. Can you just kind of break that between revenue and expenses just because I'm trying to think through the impact? And what are the implications for full-year guide, which had revenue unchanged? And obviously, same-store NOI was up with the trend on the expense side. So from that 10 basis points from the 4-year impact, how much of that can you say was revenue versus expense?
Andy Gregoire: Sure. It's very similar, Jeremy. It's about 10 basis points revenue, 10 basis points NOI. It's not a whole lot different.
Jeremy Metz: All right. Thanks, guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joe Saffire for any closing remarks.
Joe Saffire: Well, thank you, everybody. We're excited about our strategy, and we're saying that we'll able to execute on what we've been saying we wanted to do. And on that, we'll look forward to speaking to all of you at REITWeek.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.